Operator: Ladies and gentlemen, thank you for standing by and welcome to the FuelCell Energy Fourth Quarter Fiscal Year 2019 Earnings and Strategic Update Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to hand the conference over to your speaker today, Tom Gelston. Please go ahead.
Tom Gelston: Thank you, Jacqueline. Good morning, everyone, and thank you for joining us on the call today. This morning, FuelCell Energy released our financial results for the fourth quarter and fiscal year of 2019. The earnings press release as well as the press release announcing the Company’s transformation strategy, are available on the Investor Relations section of our website at fuelcellenergy.com. Additionally, you will find a copy of the presentation that will be referenced during today's call. This webcast is being recorded and will be available for replay on the Company's website approximately two hours after we conclude. Before we begin our prepared comments, please direct your attention to the disclosure statement on slide two of the presentation and the disclaimers included in the press release related to forward-looking statements. The discussion today will contain forward-looking statements, including without limitation, statements with respect to the Company's anticipated financial results and statements regarding the Company's plans and expectations regarding the continuing development, commercialization and financing of its fuel cell technology and its business plans. I am joined today by Jason Few, FuelCell Energy's President and CEO; and Mike Bishop, Executive Vice President, CFO and Treasurer. After our prepared remarks, we will be available to take your questions. I will now hand the call over to Jason for opening remarks. Jason?
Jason Few: Thank you, Tom. And thank you to the FuelCell Energy team for welcoming me as part of the management team and for joining me in the pursuit of our new business strategy. And good morning to everyone on the call and thank you for joining. It is a real pleasure to lead my first earnings conference call as CEO to discuss our fourth quarter and fiscal year 2019 results. I am honored to have been appointed President and CEO of FuelCell Energy after having served on the Board of Directors. I want to thank my fellow Board members for their trust in the team and in me to lead the rejuvenation of FuelCell Energy, and I look forward to meeting many of you in the days, weeks and months ahead. In addition to our fourth quarter and fiscal year results today, we announced our Powerhouse business strategy through which we plan to continue to fortify our balance sheet to create greater flexibility for our Company, execute on our backlog to build our generation portfolio and recurring revenue, compete for and win new business globally, solidify our position in the fuel cell industry as the baseload power of choice for a clean energy future, develop and commercialize our advanced technologies platform of products and deliver on our goal of achieving sustained profitable growth. To that end, before diving into the strategic portion of our presentation, I'd like to start by providing a brief overview of our financial highlights for the fourth quarter and fiscal year. Mike will then provide additional detail on our financials. As this is my first earnings call at the helm, I want to begin with the discussion on FuelCell Energy’s purpose, which you will find on slide three. Our purpose is to enable the world to live a life empowered by clean energy. Nothing about a global clean energy future should require anyone to fundamentally change the way we live or leave behind parts of society. In fact, it should do just the opposite, and facilitate our lifestyle and enable all parts of society to live in a cleaner, more sustainable world. Our purpose is the oxygen that drives our Company. For those of you who may be new, or returning to take a fresh look at our Company, we've included a company snapshot on slide four. For fiscal year 2019, we recorded $60.8 million of revenue, with the three largest categories being service and license revenue, advanced technologies contract revenues, and our growing Generation portfolio revenues. Each of these categories provide recurring revenue to the Company. Product sales were minimal in fiscal 2019, as the Company remained largely focused on utility scale PPA opportunities. We anticipate product sales to grow in the future, as we add product sales back to our focus in revenue mix, and continue to grow our global markets. Here, I would like to highlight a few of our marquee customers, many of whom are long-term partners with multiyear contracts. We thank them for their continued business and look forward to the future growth opportunities. Turning to slide six. The team successfully executed on several strategic actions during the latter half of our fiscal year to better position our Company for future growth. These actions included closing a $200 million senior secured credit facility with an 8-year term with Orion Energy Partners. In the aggregate, we’ve drawn $80 million under the facility. In the future, subject to lender approval, the facility may be used to fund construction costs, inventory and other capital expenditures tied to FuelCell projects, working capital and other costs that may be required to be funded by the Company for purchase orders, service agreements or other binding customer commitments. In short, this facility enhances our liquidity and funds project development that will generate long-term recurring cash flow for the Company upon completion. We concluded our engagement with Huron Consulting Services after successfully restructuring and paying off our prior senior secured credit facility with Hercules Capital, executing an extension of our joint development agreement with ExxonMobil Research and Engineering, rightsizing our business and implementing stronger capital allocation and cost controls. Following the relaunch of our sub-megawatt platform in Europe, we announced a strategic relationship with E.On Business Solutions to market and distribute our products across its growing pan European markets. E.On already owns two successful FuelCell Energy projects in Europe at the Radisson Blu Hotel in Frankfurt, Germany, and the FRIATEC manufacturing facility in Mannheim, Germany. During and subsequent to the fourth quarter, we also made significant progress on key projects, including completing construction and beginning commercial operations of the 2.8-megawatt fuel cell bio project at the Tulare, California waste water treatment facility, which leverages state-of-the-art SureSource fuel cell technology. We are excited about the global production growth of biofuels and the future growth opportunity our proprietary biogas clean-up system provides FuelCell Energy. Additionally, we have made material progress on the construction of our 7.4-megawatt fuel cell micro grid power plant, located on the United States Naval Submarine base in Groton, Connecticut. Now, I will turn the call over to Mike to discuss our financial results in more detail. Mike?
Mike Bishop: Thank you, Jason. And good morning, everyone. Please refer to the results shown on slide seven. Overall, for the fiscal year and the quarter, revenue declined primarily due to lower product sales. As Jason mentioned, this is partially attributable to our previous strategic decision to focus on utility scale power purchase agreements or PPA opportunities to grow our generation portfolio, rather than selling our projects outright. This was also coupled with a decline in activity in the South Korean market due to the continuing situation with POSCO Energy. Fourth quarter revenue of $11 million reflects a 38% decline year-over-year. The revenue mix for the fourth quarter was as follows: Generation revenues increased by 206% to $5.5 million from $1.8 million as a result of the 14.9-megawatt Bridgeport Fuel Cell project in 2019. Adding this project increased our generation portfolio to 26.1 megawatts. Increasing generation assets in order to benefit from the long-term recurring cash flows remains a strategic focus of the Company. Advanced technology contract revenues increased by 16% to $4.3 million from $3.7 million, mainly in conjunction with the original carbon capture development agreement with ExxonMobil Research and Engineering. With the signing of our new $60 million joint development agreement with ExxonMobil, we expect carbon capture to continue to be a strong revenue driver into the future. Service and license revenues decreased by 72% to $800,000 from $2.9 million, driven by the timing of planned service work performed in the comparable period. Product sales totaled $500,000 for the quarter, a decline of 95% when compared to product sales of $9.4 million in the comparable quarter for the reasons I described earlier. Despite revenue being down on a full-year basis, adjusted EBITDA loss declined by $1.3 million to $31.4 million compared to $32.7 million in fiscal 2018. Adjusted EBITDA loss in the fourth quarter of 2019 totaled $11 million compared to adjusted EBITDA loss of $8.8 million in Q4 2018. Impacting our 2019 results were atypical legal and consulting costs incurred by the Company with its restructuring, liquidity and refinancing initiatives. As we enter 2020, we are operating a much lower expense level, having implemented over $15 million of expense reductions in 2019. This was apparent in our Q4 results, as research and development expenses were $1.4 million, compared to $7.4 million in Q4 2018, reflecting lower headcount and overhead as a result of restructuring activities and an increased allocation of efforts to revenue producing activities. Net loss per share attributable to common stockholders in the fourth quarter was $0.23, compared to $2.31 in the fourth quarter of 2018. Net loss per share attributable to common stockholders in the full-year of 2019 was $1.82 compared to $9.01 in fiscal 2018. Our fourth quarter and full-year results were impacted by $17.5 million and $20.4 million of onetime asset impairment charges, respectively. Net loss per share also declined due to the higher share count, as a result of conversions of our series C and D preferred stock to common stock, as well as the sale of stock by the Company in fiscal 2019 to raise capital to pay down debt and short-term liabilities. Cash and cash equivalents, restricted cash totaled $39.8 million as of October 31, 2019, including $9.4 million of unrestricted cash and $30.3 million of restricted cash. Subsequent to the end of the fiscal year, the Company closed on the second tranche of the Orion financing, totaling $65.5 million, adding additional cash to the balance sheet and repaying short-term debt. Please turn to slide eight. As Jason mentioned, we recently entered a long-term strategic financing relationship with Orion Energy Partners. Initially, $80 million has been funded of this $200 million facility. We are thrilled to have this facility in place with Orion as it provides both working capital at the corporate level and construction financing to our project portfolio. As project hits COD or commercial operation date, we expect to bring in permanent financing and tax equity to recycle proceeds for additional construction spend on projects in our backlog or repayment of the Orion debt over time. We are actively engaged with long-term project investors to secure financing as our projects come on line. This slide demonstrates the changes of our debt maturities resulting from this facility with Orion. Previously, we had significant near-term maturities, which as of October 31st have been more evenly spread across the next six plus years and further reduced with the closing of the second tranche of the Orion financing. As we deliver on our existing backlog, projects are expected to result in recurring cash flows to future -- to service future debt maturities and provide increased liquidity to the consolidated business. We believe our strength in balance sheet and additional funding available for our facility with Orion, coupled with the new ExxonMobil joint development agreement and a significantly lower operating expense structure positions the Company very well to execute on a current backlog, while driving new sales growth, all of which we anticipate will generate long-term recurring free cash flows. And with that, I would now like to turn the call back over to Jason.
Jason Few: Thank you, Mike. Next on slide 10, I want to highlight a few additional accomplishments we made in a short amount of time. In June of last year, Tony Leo was named CTO, and Mike Lisowski was named COO, strengthening both our innovation and operational execution capabilities. We also restructured our business to realize annualized operating savings of $15 million in fiscal 2019. By paying off the senior secured credit facility with Hercules Capital, and other short term debts, we moved more than $30 million in short term debt to long term to better align with the execution of our project backlog and revitalize business development plans. As previously discussed and noted by Mike, we entered into our second joint development agreement, or what we call JDA 2, with ExxonMobil Research and Engineering Company, we further developed carbon capture technology, utilizing our proprietary carbon and fuel cell technology and our 50-year history of innovation. And just to reiterate, we are successfully executing on our backlog. We ended the fiscal year and calendar year having made significant progress on our existing order backlog, and achieved COD on our Tulare biofuels plant. Moving to slide 11. Prior to becoming CEO, I knew the Company well from serving as an independent member of the Board of Directors. Now that I've been on the job for about five months, I would like to share some of my initial observations. FuelCell has an amazing team, fully committed to the Company, each other, customers, stakeholders and our purpose. FuelCell has incredible manufacturing and engineering expertise. The team has deep expertise in harnessing and delivering the most out of carbonate fuel cells, multi-fuel processing, and quality manufacturing. This expertise is rooted in 50 years of research and development, and reflected in over 255 megawatts of our carbonate fuel cell technology installed and operating globally. I believe that the opportunity to gather data from our installed power plants and learn through the application of data analytics in AI is valuable and gives us a meaningful advantage in feature design and development. Our extensive intellectual property portfolio, patents, growing patent applications, trade secrets, and collective knowhow act as the foundation for expanding and maximizing our solution portfolio in addition to enhancing our competitive advantage in the design of large scale, multi-featured, baseload clean power production. FuelCell has a culture of continuous product innovation, and we are constantly working to expand and introduce the proprietary technologies that we have developed over the past five decades into new commercial products, markets and geographies. Our long-term power purchase agreements afford us the full benefit of future cash flows under the PPA and long-term relationships with our customers, enhancing the opportunities we have to deliver customer value. We have over $1 billion of generation backlog as we continue to execute on bringing projects online, recurring revenues for the Company will increase. Our advanced technology programs are focused on commercializing solutions within the three strategic growth areas of carbon capture, distributed hydrogen production and energy storage. To help achieve our goals, we are strengthening our culture of accountability, which permeates all aspects of our performance. We are scaling our sales organization, developing alternative channels to drive organic growth, and expanding in global markets. We plan to further optimize manufacturing and operations, building upon the excellent work Mike Lisowski and his team executed during our restructuring, and since his appointment as COO last June. I accepted the opportunity to serve as CEO because I respect the team, the Board, and I see the incredible potential ahead for this Company. Turning to slide 12. Our senior leadership team is comprised of seasoned, knowledgeable, dedicated executives with deep industry experience and expertise. We are led, encouraged and appropriately challenged by our experienced Board members who are great partners, have provided a tremendous level of support and are committed to our strategy and plan of execution. On slide 13, you will see the need for our carbonate fuel cell technology is based first and foremost on several macro trends driving demand for and supporting the growth of clean energy. Renewable energy generation has now exceeded coal in production of U.S. power generation. And this trend is growing. In fact, according to the DoE coal-fired generation only provided 24% of the nation's power supply in 2019 and is forecasted to decline to 21% this year. The intermittency of wind and solar power, an aging power infrastructure in the U.S., and the sheer strength and will of Mother Nature around the world has exposed the vulnerabilities of power grid distribution systems globally. Momentum is driving the reduction of carbon SOx, NOx and particulates around the world. In the U.S., emissions of CO2 declined 2.1% last year, which is the third consecutive year of lower emissions according to DoE. Finally, all of these factors have led to increasing regulatory support, increased investment in clean energy innovations in the U.S. and around the world. FuelCell Energy is uniquely positioned to benefit from broader shifts toward clean energy generation, increasing power needs around the world and society’s demand for always available power. On slide 14, as we think about overall demand, the global market generally consists of four categories: Distributed power; distributed hydrogen; energy storage; and industrial carbon capture. Each of these applications, or as we say, each of these jobs that a customer needs to get done is best served by a specific equipment class. And FuelCell Energy's product portfolio has a product offering for each. Long term, if FuelCell were only to capture 1% of the market opportunity, we believe it would be in excess of $170 billion. We are just beginning. Turning to slide 15. We believe that FuelCell has the right solutions to meet the needs of the evolving clean energy economy and the ever present need for continuous power. FuelCell offers clean power that emit low CO2 and negligible traces of SOx, NOx and particulates that are known to negatively affect air quality. Our plants produce power 24 hours a day, regardless of whether conditions or geography. A FuelCell power plant has a small footprint making it easy to site. As a result of its small footprint and de minimis noise level, a fuel cell power plant can be located near, at the actual site of use or even inside a building. Power solutions generate power at or near the point of use, improving power liability and energy security. Also, it lessens the need for costly and difficult to site generation, long-distance high-voltage and local distribution infrastructure. All of these attributes make fuel cell technology competitive and we believe necessary as the demand for clean, reliable, always-on power increases around the world. On slide 16, as the electric grid of the future evolves, we believe consumers and businesses around the world inclusive of developing nations will continue to require and demand always-on power. FuelCell Energy’s portfolio of products are uniquely suited to provide the reliability of always-on power the energy grid of the future must deliver. Energy must be delivered in distributed networks where it is needed, thus lessening dependence on less efficient and less environmentally friendly centralized resources and deliver on the need to harden grid infrastructure around the world. The multi-feature capabilities of our product supports distributed baseload generation and the growing demand for hydrogen, carbon capture and energy storage. FuelCell Energy is ready to transition power delivery around the world. Moving to slide 17. Our relentless pursuit to improve design and extend product life, has allowed us to increase the life of our FuelCell stack from the three years of our early days of commercial deployment, seven years today, and we’re not done. We will continue to innovate to extend stack life and lower the total cost of customer ownership. Turning to slide 18. Given our platform technology and with our expectation that demand for our solution will increase, we have developed a new business strategy we call Powerhouse, based on the three core pillars of Transform, Strengthen and Grow. In 2019, we largely completed the restructuring necessary to put our transformation in full gear and to support the next phase of our Powerhouse business strategy. We accomplished several foundational milestones toward achieving profitable growth and reestablishing our position of industry leadership. Having done this, we are turning our efforts toward further strengthening our business and maximizing our operational efficiencies to achieve sustainable profitable growth in the future. As Andy Grove once wrote, “Bad companies are destroyed by crisis, Good companies survive them, Great companies are improved by them”. FuelCell is a great company that has and will continue to improve. On slide 19, there is a summary of our early transformation accomplishments, which address key challenges that we needed to resolve before we keep focus on strengthening and growing our business. Having largely accomplished these aims, slide 20 illustrates how we are now strengthening our business by optimizing capital deployment. We will continue to focus on disciplined capital deployment and put in place lower cost, long-term financing on completed generation projects. Commercial excellence: We will plan to focus on strengthening our customer relationships and building a world-class customer centric reputation. Operational excellence: We seek to flawlessly execute on projects, manufacturing and customer service. Cost reductions: We're focused across all aspects of our organization and operations on continued lean resource management and cost reduction opportunities with zero impact to safety and to our product quality. Turning to slide 21. We will also pursue the following growth strategies. For sales growth, we will seek to increase product sales including with key strategic customers and prospective customers around the world. We will build alternative distribution channels, develop design wins tailored to our products, grow revenues through both a competitive pricing strategy and value added service delivery, and further reduce the total cost of ownership for our customers. We will continue to innovate. We will continue to focus on increasing product life, reliability and exploiting our competitive advantages on multi-fuel use, our scalable platform and multi-feature capabilities. In addition, we will advance the commercialization of differentiated solutions across the three strategic areas of carbon capture, distributed hydrogen production, and energy storage. On segment leadership, we will seek to capitalize on our core strengths in markets to meet customer needs, the power, combined heat and power, utilization of biofuels for power production, micro grids and distributed hydrogen generation for industry, transportation, and power generation. We continue to believe that education is important. We will work to ensure policymakers, environmental advocates and consumers understand the environmental, increased security and enhanced reliability benefits delivered by deploying fuel cell platform. On geographic and market expansion and our generation revenue, we will continue to execute on our project backlog, driving increased recurring generation revenue for the Company and pursue market expansion around the world. I want to take a minute to address POSCO. We have made numerous attempts to engage with POSCO Energy to address the need for deployment of carbonate fuel cell technology in the Asian market in accordance with the requirements of our manufacturing and technology transfer agreements, our understanding of the desire of the South Korean government to advance fuel cell and hydrogen technology and the needs of the Asian market, but it made little progress to date. In November 2019, POSCO Energy spun off its fuel cell business into a new entity, Korean Fuel Cell Limited or KFC. As part of the spin-off, POSCO Energy transferred manufacturing and service rights under our manufacturing and technology transfer agreement to KFC but retained distribution rights, including trademarks and severed its own liability under our manufacturing technology transfer agreements. We believe that these actions are all a material breach of the terms of the manufacturing and technology transfer agreements and are effectively a misappropriation of the Company's intellectual property. We have formally objected to POSCO Energy spin-off. And POSCO Energy has posted a bond to secure any liabilities to FuelCell Energy arising out of the spin-off. In light of the situation with POSCO Energy, we are evaluating all of our options with respect to our relationship and agreement with POSCO Energy, POSCO Energy's material breach of its obligation under our manufacturing and technology transfer agreements and the misappropriation of our intellectual property. It is important to note that the transformation, strengthening and growth of our business is happening and will continue to happen, despite our relationship with Pasco Energy. We plan to aggressively pursue resolution as we will not allow POSCO Energy to continue to deprive the Asian market of our technology. Slide 22 lays out our growing generation portfolio. We believe that the execution of our Powerhouse business strategy, coupled with the Orion financing will enable us to bring power plant projects on line at a faster rate than recent years, which would in turn generate recurring revenue with many of these represented projects operating under 20-year contracts. Turning to slide 23. We felt it was important to provide longer term targets and goals that add context to our strategy. With the time horizon looking out over the next few years, we are targeting to grow our generation portfolio by 100% from the 26 megawatts we had at the end of fiscal 2019, deliver a double-digit percentage compounded annual revenue growth rate and deliver positive adjusted EBITDA. Each target is tightly linked to each other target as execution of the construction and commercial operation of our backlog provides recurring, profitable growth for our generation service revenues, and build the financial foundation for our long-term success. We also aspire to a number of future goals, including driving our cost per kilowatt hour lower to achieve grid parity pricing in even more markets than we do today. Fundamental to our model is to deliver recurring positive EBITDA as well as consistent positive free cash flow generation. And as I’ve said in the presentation, we are focused on delivering an appropriate return on invested capital, ultimately to deliver financial returns for our stakeholders. What are the keys to achieving these goals? Execution on our project backlog to drive recurring revenue, win new business globally to replenish and grow our project pipeline, continued cost discipline, achieving our strategic initiatives and milestones across the organization, and promoting a culture of accountability and efficient capital deployment. I will conclude my prepared remarks with the following thoughts outlined on slide 24 and a word to the FuelCell team. FuelCell Energy has strengthened its balance sheet with the new senior secured credit facility with Orion, which we expect will help us to remember long-term projects to generate revenue in the future. We have an organization committed to project execution, achieving financial milestones, operational efficiencies and our core purpose. The breadth and depth of our fuel cell portfolio is second to none. And we are implementing a Powerhouse business strategy to transform, strengthen and grow the Company for the long term. To the FuelCell team, I’m humbled and honored to work with each and every one of you. Thank you for leaning in during my first five months, and I couldn’t be more excited about our opportunity to enable the world to live life empowered by clean energy. This concludes our formal remarks. And at this time, prior to turning the call over to Jacqueline, to begin Q&A, I want to introduce a few more team members that join Tom, Mike and me for the call. We're joined by Mike Lisowski, EVP and COO; Tony Leo, EVP and CTO, Jill Crossman, SVP Finance; and Ben Toby. SVP Direct Sales and International; and Frank Wolak, SVP, Utility Sales.  I will now turn the call over to Jacqueline to begin Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Colin Rusch from Oppenheimer. Your line is open.
Colin Rusch: Guys, thanks so much for all the detail on the performance in the presentation this morning. The one thing that I would like to get a little bit more information on is what's going on in Europe in terms of kind of early returns from customer conversations and how we should think about that market growing and when you can start shipping product?
Jason Few: Colin, thank you and thank you for your comments on the call and for joining us today. In Europe, as we talked about, we established a strategic relationship with E.On who already owns two of our projects in Europe today that have been quite successful. So far, our early conversation with customers across Europe has been very positive. There is a lot of excitement that we’re back in the market with our some megawatt product platform as well as our larger megawatt scale products also. We feel very confident about our ability to grow our Company with European important part of that growth in the future.
Colin Rusch: Okay. And then, just shifting gears around project timelines and cycle times. Could you talk a little bit about the efforts that you are making in terms of shortening that cycle time? Obviously there is some things that are hard to manage from a permitting perspective and citing that can take a long time. But the things that you can control, what are the opportunities for you guys to really shorten some of the those construction cycle and save some costs on that side of things as you start to execute on this portfolio growth.
Jason Few: I will maybe start out and then I will ask Mike Lisowski to add some additional comments. We put a really tight project management process in place around all of our projects. We are accelerating how we're working to get through regulatory approvals as a big part of making sure that we can stay on time and on budget with our projects in addition to the fact that Mike has really enhanced discipline around our project management and making sure that we're working very effectively with our EPC partners as well as the customers to ensure that we stay on a very aggressive timeline. Mike, I’ll let you add any other comments that you have.
Mike Lisowski: Thank you, Jason. Good morning, Colin, and thank you for your question. As Jason mentioned, yes, we're very focused on our operational excellence and the lean initiatives across our operations. In terms of reducing our cycle time and/or improving our lead time for delivery, we have a very, very tight linkage between our sales and operation planning and the production process. This is something that's continually being reviewed, new projects, project backlog as well as our service field replacement requirements. And we have our manufacturing and our project management teams very, very well positioned to execute. We're really attacking lead time and cost across our business, from the elimination of waste, attacking indirect costs and expenses as well as optimizing and reduction of our overall direct materials and direct labor in support of those objectives.
Operator: Your next question comes from Jeff Osborne from Cowen and Company. Your line is open.
Jeff Osborne: Hey. Good morning. And I’m glad to have you guys on the call. It’s been a while. Just a couple of questions on my end as it relates to the revenue ramp that you laid out in the chart. I think it’s page 22 or 23. Could you just talk about what the breakeven model was previously, prior to the restructuring, and what it is now? From eyeballing at it, looks like 50 megawatts of generation gets you to adjusted EBITDA breakeven, from memory, I want to say it was 60 before but I just wanted to confirm that.
Jason Few: Yes, Jeff, thank you for the question. And yes, this chart is really indicating our ramp tied to the products that we have in back log. But, Mike and speak more to what it will -- what our breakeven mark is for production at our plants. 
Mike Bishop: So, if you think about it from a -- there's a couple different ways to think about this. And yes, in the past, we have essentially said, when you get about 50 megawatts of installed assets on balance sheet, that's breakeven. What the Company has been doing, obviously, over the past year, has been a very concerted restructuring effort. We've taken about $15 million of operating cost out of the business. As I said in my remarks, operating expenses significantly lower than where they were a year ago and there is still one time, legal and consulting cost in our fourth quarter, which you won't see next year. So, operating from a much lower base. If you look at our financial statements coming through the fourth quarter, there's still a drag of unabsorbed overhead that's essentially coming through product cost of sales. That is a result of the lower run rate, we've been -- over the course of this year, a very low run rate. We're back up to 25 megawatts as we sit here today. So, that drag goes away as you get closer to 40 megawatts. But it's historically been over this past year, if you look at the financial statements in the $3.5 million range. So, you'll see improved margins across the Board as the Company continues to execute and ramp up in the factory.
Jeff Osborne: And then, my follow-up was actually on the expense that you alluded to. Can you just give us a sense of what we should be thinking about quarterly run rate of OpEx, given the onetime items this quarter? Like what the true run rate would be by the each of the segments would be helpful.
Mike Bishop: Sure. So, again, if you look at Q4, R&D is significantly down from where we were. So, that is essentially showing the full impact of the restructuring that we have gone through, as well as reallocation of resources to revenue producing projects here, mainly in advanced technology with the ExxonMobil program as we go forward. So, that's at a much lower rate. You would expect to see SG&A continue to come down as we go into next year. As I mentioned there, there was over the course of the year, significant one time legal and consulting costs related to our restructuring. As Jason mentioned, we ended our relationship with our restructuring consultants, right at the end of the fiscal year. So, you would expect that to trend down as we go into next year. But, the realized savings that you should see come through the financials on an annual basis is in the $15 million plus range.
Jeff Osborne: Got it. And then, if I could sneak a few more in. Is there any reason you couldn't have a sub-megawatt project in the U.S.? You highlighted you're working on that for Europe? But, is there any applicability to the domestic market?
Jason Few: Yes. Jeff, thanks for the question. There is no reason why we could not have a sub-megawatt product in the U.S. And as you may know, we actually used to offer a sub-megawatt product in the U.S. market. As part of our strategy, our Powerhouse strategy and really looking at every aspect of our business, that is something that we are currently evaluating internally to look at reintroducing the sub-megawatt product back in the U.S. market. And we think that there is applicability to that, especially as you think about some of the comments I made in terms of leveraging some of our unique capabilities. For example, we have a proprietary biofuels, gas cleanup scale that we think creates quite a bit of differentiation for us. And if you just think about the growing production of biofuels, that's a market where we can expand our opportunity by offering a sub-megawatt product to make more use of smaller scale biofuel opportunities that exist across the country. So, it’s something we're actively considering and evaluating. But there's no technical reason why we couldn't do it in addition to the fact that our sub-megawatt products provide combined heating power. So, when you think about in building solutions, you think about trying to do things from a micro grid perspective or even hardening the grid or whether you're a industrial developer or commercial developer and you're trying to create value for customers as to why somebody would pick your location to maybe place their business for manufacturing as an example. If you look at the Radisson Blu Hotel in Frankfurt, that's an example where we have a sub-megawatt product or 400 kw product. And we provide the hot water for that hotel in addition to the electricity. So, we think that applicability around CHP and particularly as you look at the sub-megawatt products, gives us the distinct advantage to smaller sub-megawatt fuel cell products that exist today in the U.S. market and around the world.
Jeff Osborne: Got it. That's helpful. And my last one is on the project side. Can you touch on -- it was in the Q that Bolthouse Farms was removed from the backlog. Can you just expand on that? And then, any status update on -- I think it's Brookhaven rail terminal as well as Yaphank industrial park, in terms of PPAs. It looks like those are still in backlog, but I don't think you have a signed PPA on those.
Jason Few: Sure. Jeff, on Bolthouse, as we talked about, one of the things that we're doing is really taking a very active approach to portfolio management. And really looking at the projects that we had in backlog and whether or not they really fit the margin profile that we want to drive for the Company. As we look at Bolthouse, specifically to this project, and the increase in the interconnection cost which is really more specific -- location specific to Bolthouse, and some of the challenges with the gas pressure line coming into that facility, the cost no longer made sense for the customer or for us. So, it really didn't fit our margin profile. So, as we actively managed portfolio, we made a decision that the project would likely no longer move forward, in addition to some of the regulatory changes in California that specifically impacted this project just made it no longer a project we wanted to move forward with from a economics returns standpoint as well as aligning to the customer's preference around that also. I would say that as it relates to California and our opportunities there, for example as we noted that we just went COD on Tulare, we continue to believe that that’s an attractive market for us and will move forward on other projects including our recently announced project win out there in San Bernardino. As it relates to LIPA and our projects, we are aggressively moving forward on Yaphank. That project is continuing to move forward. We feel very good about where we are as we’ve reengaged on that project as we did across the same with Tulare and Groton as an example. The one thing that you noticed or noted in the backlog is we've made a decision that we're going to talk about backlog for projects that we have signed PPAs. The other two LIPA projects as PPAs aren’t signed, they are still in ISO. So, those are things that we continue to work on but great progress to-date on Yaphank.
Operator: Your next question comes from Eric Stine from Craig-Hallum. Your line is now open.
Eric Stine: So, before a few follow-ups, just wanted to clarify, so on your fiscal ‘22 target, I mean, should we take that as that’s really generation -- I mean, it’s your generation portfolio and you are assuming little in terms of product sales or how should we think about that?
Mike Bishop: Good morning, Eric. This is Mike. So, we put out the ‘22 target, as Jason said to really layout the markers here as we go forward as we said in our remarks. We fully expect to engage again in product sales, obviously less this year than in prior years for the reasons we talked about on the call. But, Europe and Korea are both great product sales opportunities. And as we demonstrated in the past and in -- for certain projects, particularly behind the meter those lend themselves, product sales as well so. As we talk about revenue growth going forward, you will -- we would expect to see that as part of the mix as well.
Eric Stine: Okay. And following up on that, I know the introduction of the seven-year stack, just curious how you think that impacts the customer decision in part because of less focus from you, in part because of just challenges in certain markets and challenges on the product side, just like how would that impacted to by versus PPA decision for a customer? And then, curious also, when you own those projects, what kind of impact do you see that having from a margin perspective?
Mike Bishop: Sure, Eric. So, this is Mike. So, I will take that one. So, as we highlighted in the presentation, the Company has done a tremendous job over time in increasing stack life. And as we sit here today, that’s seven years, the team is absolutely focused on continuing to increase that, reduce cost, increase power ouput as we go forward. So, when you think about economics on a project -- and we think about it, not just economics to us, but all the stakeholders on a project. The longer the stack life, the overall lower cost of service, which allows us to be more competitive as we're going out with the value proposition to our customers and potential other stakeholders and owners on projects. So, it is a significant benefit as we continue to increase stack life and we're focused on that as we go forward here.
Jason Few: So, Eric, just to add to that. I would say, look, it's important for us and as we think about customers and customer relationships that we sell and offer our products in a way that makes the most sense for the customer. And we believe that we have the flexibility to do that, whether it’d be product sales or PPA or as I talked about, doing things around the design win type scenario. So, we're going to be very flexible in how we work with the customers to present one, the best set of economics for them and the highest return opportunity for us but we’ll be very flexible in how we approach that.
Eric Stine: Maybe last one for me. Just since it's been a couple of quarters since I'm on a call here, just on ExxonMobil I know you're kind of going on two paths. It's the power path and also the industrial path. And just maybe how you see both playing out? I know power plant was first. And then on the industrial side, I believe you've sold the technology to ExxonMobil, but then are licensing it back. So, maybe just talk about how you expect those two to play out going forward?
Jason Few: Eric, thank you. What I'll do is maybe hand that question over to Tony Leo, who's worked extensively throughout the entire time we've had a relationship with Exxon. And he can talk about how he sees both between power plants and industrial application opportunities for carbon capture.
Tony Leo: Yes. Thank you. When we see them playing out, I would say is we think of the power plant opportunities, the larger opportunity, but the industrial might actually be the opportunity that happens first, because you can do smaller projects, because industrial carbon capture emissions tend to be higher CO2 concentration, they are a little bit easier from technical standpoint. So, that -- it could all change, but that's kind of how we see it sort of playing out as we enter these markets.
Eric Stine: Okay. And then, I mean, industrial, is that something -- well, I mean, I guess in regards to the fiscal ‘22 targets, I mean, it could move first. But, I mean, are these -- I would still think there's a little bit of a development path on both?
Tony Leo: Yes, sure. That's the whole point of the joint development program is we're optimizing our carbonate technology, which is right now optimizing power generation, we're optimizing it for carbon capture with a variety of different types of fuel gases. So, you're exactly right. We’re positioning it for these different applications.
Jason Few: Yes. I think, it's fair to say, as you think about it opportunistically in our financials, looking outside the time horizon we've outlaid in terms of really seeing growth on carbon capture, it will be outside of that window. But the work that we're doing in the JDA 2 is paramount to us getting to that point.
Operator: And our final question is from Joe [indiscernible] from Raymond James. Your line is open.
Unidentified Analyst: Kind of high-level regulatory questions, if I may. One -- and you've alluded to this in relation to California. But more broadly, there are eight states now that have 100% renewable target distant in the future of course. But, to what extent is this influencing customer behavior and kind of dissuading them from investing in natural gas solutions, even 20 years ahead of those deadlines?
Jason Few: Hey, Joe. This is Jason. Thank you for the question. If I understand the question correctly, it’s as we think about natural gas and utilization of natural gas, we consider that to be an important part of the energy mix going forward. We make very effective use of natural gas with our power plants for a non-combustion technology. We have low-emissions on CO2 and negligible emissions around SOx, NOx, and other particulates that we know impact the air quality for example. We think that some of the decisions or momentum that we've seen around states to not support natural gas, you're starting to actually see some of that -- the headwinds around that change to where there's a recognition that there needs to be a much smarter transition as each state thinks about how it wants to reduce its environmental footprint. And so, we think that we have the ability to present our products in a way that addresses the concerns that a particular state may have around the utilization of natural gas. In addition to the fact that as a technology, we have the advantage of being a multi-fuels technology. And so to the degree that we can take advantage of biofuels or direct to biogas, we offer customers an opportunity to have different set of solutions to address whatever their marginal goals are. For example, if you just take Tulare, that's an example where we're actually taking advantage of on-site biofuels. That's a direct use of the biofuels that are being produced at the wastewater facility. There's not a requirement to put that into the common carrier gas pipeline, because we're able to take advantage of that right on site. And we'll continue to look for more of those kind of opportunities. But, we strongly believe and will continue to educate and advocate for a transition that makes sense in terms of how you think about what a fuel mix might be for the energy grid of the future.
Unidentified Analyst: Okay. That's helpful. And then secondly at the federal level. In two years’ time, under current law of course, the tax credit for fuel cells will zero out. How does this kind of play into your medium term planning for 2020 and beyond?
Jason Few: As we think about the tax credit, we certainly remain positive in terms of thinking about that there's an opportunity that that will get extended. We certainly will continue to actively work to try to help make sure that happens. In addition to the fact that as we expand globally, there are other incentives around global markets that continue to very aggressively try to put incentive programs in place to deliver clean energy solutions within those respective countries. And so, that's a big part of how we’ll continue to focus even on a global landscape where you don't see some of the phasing out that you currently see planned for the ITC in the United States.
Operator: There are no further questions at this time. I will turn the call back over to presenters for closing remarks.
Jason Few: Jacqueline, thank you very much. And thank you to everyone that joined our call today. We really appreciate your interest in our Company and wanting to know more about what we're doing to really advance and transform FuelCell Energy. So, thank you for your time today. And I look forward to spending -- as I said, spending time with many of you in the coming days, weeks and months ahead. Thank you. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.